Operator: Good evening. Welcome to Triterras Conference Call to discuss the Financial Results for the Six Months Ended August 31, 2021. My name is Towanda, and I will be your operator for today's call. Joining us for today's presentation are the Company's Chairman and Chief Executive Officer, Srinivas Koneru; Chief Financial Officer, Alvin Tan; Chief Technology Officer, Sri Vasireddy; Executive Vice President, Jim Groh; and Vice President of Financial Reporting, Perry Mangers. And following their remarks, we will address questions that have been submitted to the Company. Now I'd like to turn the call over to Executive Vice President, Jim Groh. Sir, you may proceed.
James Groh: Thank you, Towanda, and thank all of you for joining us on the conference call today. Before we start, I would like to read the following in regards to our forward-looking statements disclaimers and note to investors disclaimers. Please note that certain information discussed on the call today will include forward-looking statements about future events, Triterras future business strategy, and future financial and operating performance. These forward-looking statements are only our beliefs, expectations, estimates and predictions, and are subject to risks, uncertainties and assumptions that are outside of Triterras control and difficult to predict and may cause the actual results to differ materially from those stated or implied by those statements. Certain of these risk and assumptions are discussed in Triterras SEC filings, but they are not exclusive. These forward-looking statements reflect management's beliefs, expectations, estimates and predictions as of the date of this live broadcast, April 25, 2022, and Triterras undertakes no obligation to revise or update any forward-looking statements after this call, except as required by law. Joining me on the call today are our Chairman and CEO, Srinivas Koneru; our Chief Financial Officer, Alvin Tan; our Chief Technology Officer, Sri Vasireddy; and our Vice President of Financial Reporting, Perry Mangers. For today's call, I am first going to provide a high level overview of Triterras, our business model and recent achievements and challenges. Then Perry will review the financial results we announced last week. Our CEO, Srinivas will then provide an update on the market and our growth strategy, and Sri will wrap up with some of the innovation occurring at Triterras. We will then address questions and ahead of time per the instructions provided on our April 20 earnings press release. I want to remind everyone of who we are at Triterras. Most importantly, we are a business that is very much in-business and our foundational principles remain to apply advanced blockchain technology to transform trade and trade finance for small and medium-sized enterprises or SMEs. We believe that digitization of the fundamentally paper-based systems exemplified in today's trade and trade finance transactions will drive efficiencies, lower costs, reduced transaction cycle times and achieve a monumental improvement in the sustainability aspects of our industry. We provide a digital one-stop-shop platform for trade, trade finance and supply chain finance to SMEs through our Kratos platform, which is a transformative blockchain-enabled digital platform, facilitating global bilateral trade, trade finance, supply chain finance and related value added services. In our opinion, Triterras business model of bringing new trade finance lending to underserved or underbanked market segments also provides a world positive social impact. Additional trade finance lending is a critical economic accelerator in emerging market economies. So our very core mission serves the common good. Now I want to highlight several accomplishments over the past several months. Our auditors successfully completed the independent audit of our financial statements for the fiscal year ended February 28, 2021 on March 07, 2022, when our auditor issued to us an unqualified opinion. The audit and associated filing of our Form 20-F with the SEC brought our financial filing status to a sufficient level to proceed with an application to trade our securities on the OTCQX exchange. OTC market is still reviewing our application as of today. We view this as a bridge in connection with our efforts to once again list our shares and warrants on NASDAQ. And although we cannot make any assurances regarding our success and/or timing of a NASDAQ re-listing, we can state however that the filing of our results for the six-month period ended August 31, 2021, our financials are current. We have scheduled our 2021 Annual General Meeting for May 05, 2022. We will also continue to work with our independent auditor to keep our financial reporting up-to-date including an anticipated subsequent filing of our annual report on Form 20-F for the fiscal year ended February 28, 2022 and related audited financials by the end of June, 2022. Now, as we've recently disclosed in our most recent Form 20-F, our industry has faced some significant challenges driven by the recurring ways of COVID-19. As you all are probably aware, global supply chain disruptions have substantially extended business transaction cycle times in international trade. These extended cycle times have had a direct impact on the liquidity situation of many SME traders. For some of our clients, this caused some short-term liquidity issues and forced reduction in their level of trading activity. For others in the trading community, the liquidity crunch became an existential threat to their business and caused certain of them to suspend operations. The Kratos community of traders was certainly not immune to these impediments to the respective businesses. We also observed that there was a significant reduction in the availability of trade credit insurance in the last 12 to 14 months. We believe that this had a direct impact on reducing the level of trade finance loans available to SME traders. The lack of trade credit insurance would have had a direct impact on specialty trade finance funds, where their very business model was reliant on widespread availability of trade credit insurance. Estimates in the trade finance short fall for SMEs have brought in from at one end of the estimate, US$1.7 trillion to US$4.5 trillion. Ultimately, we believe the global supply chain issues will be resolved as we have seen in prior cycles, but the business environment has been and remains extremely challenging for SME traders. We believe that Triterras has fared well in the face of these headwinds although we have not been unaffected by their impacts. We view 2022 as a largely a transitionary year for a business where revenue growth will be challenged. We believe these recent disruptions in the industry may create long-term opportunities for Triterras to take increased market share and emerge with a much larger network to capitalize on improved industry fundamentals. We are also making noteworthy progress on our broader corporate objectives of putting past legal and compliance issues in the rearview mirror and engaging with a reinvigorated focus on our business. As we have previously announced, the audit committee of our Board of Directors completed an investigation last year that concluded that the allegations contained in the January 2021 short report lacked either factual support or material basis. I will now pass the microphone over to my colleague Perry to walk us through the financials for the six months ended August 31, 2021.
Perry Mangers: Thanks, Jim. Let's start first with trade transaction volume. For the first six months ended August 31, 2021, we had trade transaction volume of $4.03 billion, which was an 18.8% decrease over the comparable prior year period. This decrease was primarily due to severe global supply chain constraints and finance limitations in the broader trade finance industry. It's important to note that trade finance volume represented 36% of total volume during the six months ended August 31, 2021 as compared to 21% in the comparable prior year period, which demonstrates that more users of our trade discovery sub-module are seeking financing use in our trade finance sub-module compared to the corresponding period last year. Our average transaction fee percentage for the six months ended August 31, 2021 was 0.57%, which is higher than the comparable prior year period of 0.48%. Again, this increase is driven by the increase in volume in our trade finance sub-module compared to the corresponding period last year. For the six months ended August 31, 2021, our revenues were $22.9 million compared to $23.7 million for the comparable period of last year. The modest decrease was due to the aforementioned global supply chain constraints and trade finance limitations in the industry partly offset by higher transaction fee percentage. Total operating expenses for the six months ended August 31, 2021 were $20.2 million compared to $6.4 million for the comparable period in the prior year. The increase was primarily attributable to elevated legal and consultancy expenses of $6.9 million and an increase in staff expenses primarily related to the build-out of our business development organization and additional staff to support compliance activities with being a public company. We also took an impairment charge of $3.9 million on trade receivables as certain of our customers are struggling with liquidity from the impacts COVID-19 is having on their business. Net income for the six months ended August 31, 2021, totaled $27.3 million or $0.35 per ordinary share compared to net income of $14.2 million or $2.84 per ordinary share for the corresponding period in 2020. The earnings per share of $2.84 for the six months ended August 31, 2020 was prior to the business combination when we only had approximately 5 million weighted average shares outstanding compared to the six months ended August 31, 2021, where we had approximately 77 million weighted average shares outstanding. Impacting the net income of $27.3 million for the six months ended August 31, 2021 was a $25.3 million non-cash gain related to the change in fair value of our warrant liabilities as we are required to record the changes in the fair value of warrants in our financial statements. We will continue to record non-cash charges in the fair value of our warrants until such time as the warrants are either exercised or expired. But I want to emphasize this is a non-cash item. Also, impacting net income for the six months ended August 31, 2021 was a $3.9 million impairment loss on trade receivables. Adjusted EBITDA, which is a non-IFRS measure for the six months ended August 31, 2021, totaled $4.1 million compared to $17.9 million in the prior year comparable period. The decrease in adjusted EBITDA was primarily due to the increase in general and administrative expenses and the impairment charge on trade receivables. More information regarding our use of adjusted EBITDA including a reconciliation of adjusted EBITDA to net income can be found in our earnings release. I will now pass it over to Srinivas to discuss our market opportunities and growth strategy.
Srinivas Koneru: Thank you, Perry, and good evening, everyone. I remain very optimistic about the long-term prospects for Triterras. We have solid core technology and have continued to execute on our business plan and invest in the future of the company. My view is that despite the industry challenges that developed over the last 12 to 18 months, the future strategic direction of Triterras remains unchanged from what it was at the time of our business combination public listing. We are addressing outsized opportunities in underserved markets and we are aggressively executing against those opportunities. I would like to recap our strategy. First and foremost, our clients have always anticipated that we would endeavor to bring new lenders into the trade finance space. We believe that the Kratos platform actualizes an asset class that is trade finance loans that can be very attractive for general and alternative credit funds not currently involved in trade finance lending. We believe that trade finance lending offers yields and short-term maturity is self-liquidating as low default rates can be implemented with strong structural protections and have low correlation with other asset classes. Internally, we refer to our efforts to attract new institutional lenders as our distribution business. Secondly, it has always been our plan to expand outside of the limited market of Asia-Pacific, referred to as APAC, trade finance lending to commodity trader clients to a greater expanded scope of clients in varying vertical markets, financing structures and expanded geographies. We refer to these growth in new clients, markets and products as our origination business. We have built out a robust business development team that has expanded our reach beyond commodities to both semi-finished and finished goods with borrowers in APAC, Middle East and North Africa referred to as MENA and India and ultimate buyers in Western Europe, North and South America. The origination portfolios of opportunities include a wide array of environmental, social and governance or ESG considerations for lenders who emphasize these in their evaluation. From a tactical standpoint, as we recognized emerging challenges in our traditional APAC-centric commodity trade finance business segment, we significantly increased our efforts to put into place the human resources, technology and business processes to drastically expand both our distribution and organization efforts outside of our original ecosystem. Our investment in business development has been substantial. We continue to make significant progress, and I would like to provide you with some examples. As a part of our announced M&A strategy, we successfully acquired Invoice Bazaar on May 17, 2021. Invoice Bazaar is expected to facilitate a more rapid scaling of the company’s supply chain finance business, strengthen the executive leadership with experienced trade finance executives, and provided us with a geographic presence in MENA. We have expanded the business development team to focus on sourcing enterprise level supply chain finance arrangements from both MENA and India to present as opportunities for current and potential lenders on the platform. The second initiative is the company's first story into B2B microlending through a partnership with e-commerce vendor, Zomato. For Triterras, the world of microlending through e-commerce partnerships is an exciting new opportunity that could potentially be scaled throughout the world. It is an ideal fit with our mission that is to bring added liquidity to an underserved market that is actualized by the application of our advanced platform technology. We look forward to updating you as this business segment develops. We expect that long-term organic growth will come from tracking new lenders to the platform that can benefit from the advantages of trade finance lending and the facilitation of their entry into asset class with our blockchain-enabled Kratos platform. We continue to build out our senior level leadership of experienced institutional finance executives to lead our business development efforts of lender recruitment. Working hand-in-hand with our origination teams, the distribution team brings an extremely compelling value proposition to potential new market entrants. So as to summarize, our growth [indiscernible] has always remained consistent, but we have undertaken a tactical pivot to react to the slowdown in our original APAC commodity trade and trade finance business. We are investing heavily in the people, process development and ever improving technology to capitalize on what will be our tremendous opportunities. Lastly, we are incredibly proud of the team we have built at Triterras. Over the last 18 months, we have made a number of strategic hires within legal, origination, technology, business development and finance to strengthen and deepen our bench as we look to scale our Kratos platform and drive long-term shareholder value. We are also proud to know that over 50% of our professional employees are women. These hires all have deep experience in their respective field. We are grateful for their contribution to Triterras and excited about their future contributions. Triterras is at its core fintech company. We believe that the trade finance industry has significant under investment and in many ways is antiquated industry right for technology business-based disruption. We believe that every improving state of our technology will be fundamental to our sector. With that, I'm proud to introduce our Chief Technology Officer, Sri Vasireddy, who will make some comments about our efforts in technology development. Sri?
Sri Vasireddy: Thank you, Srinivas. I want to spend my time discussing many improvements we have made over the last several quarters within our Kratos platform, our focus being on agile, evolving enterprise and the strengthening of the Triterras team. Triterras envisions using technology as a competitive advantage to deliver value to our clients. While most of our technology is not visible to our clients, we invest a great deal of human and financial capital on what's behind the curtain to create a user-friendly platform to effectuate client growth, profitability and sustainability. In the past, we had talked about rolling out newer versions of Kratos every six months to 12 months, but we believe that created too much stagnancy in between versions, so we have instead instituted a program of continuous improvements so that we can constantly evolve and improve our platform rather than waiting on more step function changes with longer lead times. We are ultimately focused on delivering more benefits to our customers in a shorter timeframe while optimizing development and integration costs. We also believe we have made significant progress in improving the technology of our Kratos platform. We have fully transitioned from the public Ethereum blockchain ledger to an AWS-managed Hyperledger blockchain and achieved ISO 27001:2013 certification. We have also implemented a process called DevSecOps, which is short for development, security and operations. DevSecOps is an automated process that identifies security and scalability issues at every phase of the software development lifecycle from initial design through integration, testing and delivery. DevSecOps ties into our strategy of being an agile organization as it should allow us reduce cycle times and costs in improving the Kratos platform. In closing, I would like to provide a glimpse into one of the technology areas that we believe could provide further differentiation and value to our Kratos platform. We believe that the application of advanced machine learning could provide significant automation to our users, especially lenders in the machine-driven review and validation of information and data submitted on the platform. This could be particularly impactful as the platform expands to include microlending applications for our lenders as the transaction sizes decrease, but the volume of the transactions increase. This particular area demonstrates how we endeavor to create a strong linkage between our ongoing technology development and the tactical needs of our business development teams. We look forward to providing you with such updates in the future. Now I will turn it over to Jim.
A - James Groh: Thanks, Sri. This concludes our prepared remarks, and we are now ready to address the questions that were submitted through the appropriate platform. We did attempt to aggregate similar questions so we can cover as much information as possible today. So the format is going to be, I am going to read the question and different members of the team will answer them. We are going to start with some capital markets questions. Has the NASDAQ filing been made and do you anticipate their review taking longer than the typical four to six weeks? I will be providing the answer on this one. To meet the minimum NASDAQ listing rules, we will need to complete our Annual General Meeting, which is scheduled for May 5. We cannot submit an application before then. We also recognized that it's critically important for the company to file its Annual Report with audited numbers for the fiscal year ended February, 2022 by end June, 2022. The company has taken a number of steps to improve our financial controls, reporting and governance capabilities. We are hopeful that these actions will results in a favorable outcome from NASDAQ. However, we are not able to make any estimates on how long the processes may take. Second question. What is the timeframe for being listed on OTCQX? The answer is that our application has been submitted. And at this point, approval is in the hands of OTC markets. However, timeframes do vary. Question three. Given the effort and cost required to relist on the NASDAQ, does the Board agree that such current circumstances warrant a dual-track process, which compares such relisting with a buyout? We are confident that the answer – excuse me. The answer to that question is we are confident that the relisting plans that we have communicated to the market are the most prudent course of action. The Board will consider alternatives as they deem fit from time-to-time. The next question. Given the presumably elongated path to generate shareholders value through business performance and the apparently significant investments required to organically realign the company and its growth path, is the Board open to consider given the circumstances alternative paths for shareholder value creation including soliciting a buyout offer? The answer. We believe it's helpful to point out that over 60% of the shares of the company are owned by our Chairman and CEO, Mr. Koneru. Clearly, there is strong evidence of alignment of interest. The Board will act in the best interest of the shareholders of the company. The next question. Is the company considering buying back their shares? I will be providing the answer. We get a number of questions on stock buybacks. First, as I'm sure some of you may know, company stock buyback programs are highly regulated processes, and those processes control the timing and the execution of any stock buyback. In our view, the company should not consider a buyback program until our stock is freely trading and until after we have filed the Annual Report for the fiscal year ended February 2022, which we expect to file by the end of June 2022. Secondarily, the company would generally not discuss its plans in advance of such a program before it's formally announced. We do receive numerous e-mails requesting information or requesting an opportunity to discuss stock buybacks plans. And given the above, we have no choice, but not to respond. But having said that, we have a highly confident Board, highly confident outside advisors, legal advisors and investment bankers. They will endeavor to take actions that are in the best interests of the shareholders over the long-term. The last capital markets question, which I received from a number of investors. Are you going to sue Nexia? The answer is on advice of counsel, we do not comment on potential litigation and I'm sure many of you understand the reasons for that. Active litigation will be commented on from time-to-time. We'll now turn our attention to some of the financial questions. The company spent $5 million for 2020 and $5 million for the first Q of 2021 for legal fees. Question, don't you think it's too much and explain for details what the money was spent for? I'm going to turn that question over to my colleague, Perry.
Perry Mangers: Thanks, Jim. So although we recognized that the expenditures, legal fees and the related consulting work were high, the company had no choice to make those expenditures. The P2P short-report raised allegations that the Board believed should be investigated, resulting in The Audit Committee of the Board of Directors launching an independent investigation to review those allegations. These types of investigations are quite extensive and costly. As you may have seen, the investigation concluded that, and I quote from our press release, the allegations contained in the short-report lacked either factual support or material basis. Accordingly, the audit committee has concluded that those allegations do not require additional action by the company. The other major area of legalities has to do with the shareholder class-action lawsuit is entirely appropriate for the company to defend itself. We will provide updates on the class-action lawsuit as and when there are material developments.
James Groh: Thank you, Perry. The next question is the development costs of $4.9 million in the six months. Is this expected to be the normal half-year yearly expenditure for updates and integration or our cost frontloaded? I'm going to ask my colleague, Alvin Tan, our CFO to respond?
Alvin Tan: Thanks, Jim. Well, this development costs represents upgrades to our existing systems and also the addition of new modules, the development costs are actual costs incurred and are not frontloaded.
James Groh: Thank you, Alvin. Next question. The uplift in staff expenses, bonuses and staff increases during the six months materially impacted the cash bank balance by my calculations. What IRR has been forecast from this investment? Perry, would you please respond?
Perry Mangers: Yes. So certainly there have been an increase in staff costs in general. These increases are tied directly to building out the company's capabilities to capitalize on what we feel are outsized opportunities with the ultimate goal of growing revenue and earnings. The main reason for the impact on cash on the investments made in Trade Credit Partners fund, the acquisition of Invoice Bazaar, development expenditures related to Kratos platform as well as legal and professional costs incurred during the course of the investigation and legal-related activities is disclosed in our various filings. As outlined in our filings, many of these cash expenditures are expected to be non-recurring in nature.
James Groh: Thanks, Perry. Another question, can the company provide guidance on FY2022 revenues and profits? Alvin, would you please respond?
Alvin Tan: Right. At this stage, we are not providing any guidance on FY2022 revenues or profits.
James Groh: Next question. Without the non-cash revenue from the warrants, EBITDA fell dramatically to $4 million from $17 million. Are you expecting EBITDA to be and it's a negative – it's a -ve, so we interpreted that to be negative in the second six months of 2021? Perry?
Perry Mangers: The decrease in adjusted EBITDA was largely due to the substantial increase in legal and professional cost incurred during the period for the independent investigation and litigation related to activities is disclosed in our various filings. As Alvin stated, we are not providing any guidance on the second half of FY2022.
James Groh: What level of cash balance will the company consider a buffer for ongoing working capital? Is expansion by acquisition? The main focus, will organic growth return at some point? Alvin, please.
Alvin Tan: Right. Organic growth is the main focus, but the company will remain an opportunistic organization and any synergistic opportunities that arise for accretive acquisitions might be considered.
James Groh: So then related to that is a related question. Cash position, $99 million, no debt. Do you anticipate needing any form of funding debt equity offering going forward to fund growth operations? Alvin?
Alvin Tan: The group currently has a healthy cash balance. We will continuously review the liquidity of the group, whether they are attractive funding opportunities towards the expansion of our business.
James Groh: Okay. Next question. Can you talk about the increase in trade receivables? Temporary still growing, how will this shake out over the next year or so? Alvin? 
Alvin Tan: The increase in trade receivables were mainly due to global economic challenges and consequently the challenges faced by our customers. We are continuously working with our customers on collections. 
James Groh: Thank you. Do you see marketing spend to accelerate level off? How is this budgeted percent of sales? Alvin?
Alvin Tan: Our marketing spend has been lower as the percentage of sales thus far in the first six months in FY2022 as compared to full-year FY2021. Our marketing plan is in line with the opportunities for the growth of a business and to support our new revenue streams.
James Groh: Next question. What is management expectation with regards to exceptional items in particular legal fees, consultancy plus professional fees and A/R write-off? What portion of the charges incurred in H12021 are expected to be incurred in H2 of FY2022 ending June 28, 2023? Are such exceptional items actually a part of cost of doing business, which were underestimated or overlooked at the time of the business combination? Perry?
Perry Mangers: So again, we will not be providing guidance, but as it relates to the expenses, they were not underestimated, but unforeseen in the case of the investigation into the allegations of the short-report and defending against the shareholder lawsuit?
James Groh: Thanks, Perry. Okay, a couple of quick questions here. Is the company evaluating the option of adopting a December 31 fiscal year? Alvin?
Alvin Tan: No. We are not evaluating the option.
James Groh: Right. And is the company evaluating the option of redomicile itself as the U.S. entity? And again, Alvin, could you comment?
Alvin Tan: No. We are not evaluating the option.
James Groh: Okay. Thank you. On your cash flow statement in your 20-F, there is a line item of proceeds from warrants issued. What is that? Perry?
Perry Mangers: All right. So this line item reflects the warrant liabilities that the company assumed is part of the net assets acquired pursuant to the reverse merger with Netfin on November 10, 2020.
James Groh: Thanks. Next question. Is it correct to say that Triterras extended account AR, accounts receivable to 120 days to help out with the make up of Kratos customers shifting towards SME borrowers requiring funding? Perry?
Perry Mangers: We believe the change in accounts receivable policy was a prudent move to support many of our existing clients who were experiencing cash flow problems resulting from extended transaction times due to COVID and the global economic situation.
James Groh: Thank you. For the impairment in accounts receivable, are all these – all related to aging trade receivables? And I'll just say, yes, they are. Do unpaid client invoices comprise a significant portion of the cash used for working capital? Perry?
Perry Mangers: My understanding from the question is – how we're interpreting is do client accounts receivable represent most of the cash that was utilized for working capital? And the answer to that question is yes.
James Groh: Thank you. Next question. What are the plans for managing collections of accounts receivable? Alvin?
Alvin Tan: Yes. We have a very well defined process and related policies for managing accounts receivable balances. Every 15 days, there is a detailed review of customer balances and a team assigned the responsibility for collecting makes a specific plan of action.
James Groh: Thank you. Another question we had in receivables at what point does Triterras put its foot down and borrow these borrowers and traders from doing trades in Kratos? And I'll be responding. There's not a one-size-fits all policy and the level of action taken on outstanding balances varies according to the situational analysis by the committee responsible for managing the accounts receivables. But I think the uptake is we have deactivated client access to the platform for a non-payment when that is the best team – is the best course of action. Okay. Moving on to technology. We received a question. You have outlined your move to the Amazon Web Services hosting of your platform and the move from Ethereum public blockchain to the AWS-managed Hyperledger blockchain. Why did you do this? And are there any concerns with the cost impact of doing this? Sri, would you mind fielding that one?
Sri Vasireddy: Sure, Jim. We have published articles on our website that specifically outline the improvement in platform security that these actions provided us. We believe that AWS offers exceptional security protection, which we further enhance with quarterly penetration testing using [outside equipments]. In regards to cost, not only did our move to AWS lower our cost, but we believe that we have reduced our exposure to cost volatility with this move.
James Groh: Thank you, Sri. All right. We are now going to move on to some of the operational questions that we received. How do you see supply chain headwinds going forward? I will field that question. This is an incredibly difficult question to answer. The SME commodity trading industry has been hit hard with expanded transaction cycle times, and the impact of that on those that are holding the financing of those transactions. The sea change in trade credit insurance industry availability has also been a drag. It is unprecedented, and the timing of the resolution of these issues is beyond our ability to predict. However, we do know a few things. Trade still needs to happen. It's also becoming more widely accepted that digitization of the trading ecosystem offers incredible opportunities to the trading industry as a whole. We still believe that the value proposition of Kratos is compelling and will be a great utility to those SME traders that have been able to withstand the body blow that COVID-19 and supply chain disruption has dealt them. As far as Triterras is concerned, the original strategy to evolve our customer base and financing structures outside of APAC, that's the Asia-Pacific commodity traders, seems in retrospect to have been a good one. The enterprise level supply chain finance business being led by Invoice Bazaar is a much healthier industry with a whole different financing structure and lending risk profile. As we discussed earlier, we have already built the teams for distribution capability that is to recruit new lenders to the platform and origination capability to bring new borrowers on the platform from different geographies and different product areas beyond commodities. We are encouraged is to how this is evolving and feel very fortunate to taking these steps literally last year to build out these capabilities and add this new business segment to our focus. Another new initiative is the e-commerce vendor microlending business being launched by Invoice Bazaar. Although only a fledgling business at this point, we believe it has huge potential and Triterras is very well positioned to bring the advanced technology solution to actualize this opportunity. So to use a sports analogy, we now have three, not one horse in the race, and we are very happy to have done so. Next question. Can you explain the gain/loss of traders’ customers over the last few periods? Are some customers in wait and see mode not doing transactions? Srinivas, please.
Srinivas Koneru: While we are not giving specific data around number of customers due to economic situation globally and the challenges that the company has faced over the last year, we have seen decline in revenues from certain existing customers. However, at the same time, we have managed to onboard new customers on to the platform. We have also expanded our revenue stream following the acquisition of Invoice Bazaar group. We continue to evaluate our performance through key operating metrics, which include total transaction volume and financing ratio.
James Groh: Thank you. Another question we received aside from the more long-term considerations, what is the current appraisal of the management team – of the management team/board with regards to the Invoice Bazaar acquisition? Srinivas?
Srinivas Koneru: We are extremely pleased with how smoothly the integration of Invoice Bazaar’s management and business operations were integrated. Given the rapid expansion in the Middle East market, the Invoice Bazaar team along with Triterras team has played a significant role in our business expansion.
James Groh: Thank you. Next question. Can you give an idea how many customers and the accompanying revenues that have been lost to the Kratos platform during the six-month period and what is being done to address this concern? Srinivas?
Srinivas Koneru: We will not use specific data around the number of customers, but during our overview, we did provide information on the global economic situation and the challenges that the company has faced over the last year. We have seen a decline in revenue from certain existing customers. However, we have managed to onboard new customers on to the platform. Also, our successful acquisition of Invoice Bazaar has brought in new potential revenue streams in supply chain finance and e-commerce microlending. We believe that the keys to our success will be to achieve traction in these new markets, as well as the expected recovery of the trading industry at some point in time. We continue to evaluate our performance through key operating metrics, which include total transaction volume and the financing ratios.
James Groh: Thank you. Next question. Please provide additional information on IRR terms, et cetera, with regards to the $15 million investment in the trade finance fund? I'll field that question. Our investment in the trade finance fund is a strategic investment to improve our presence across the trade finance sector. The fund is expected to have a minimum annual rate of return of the three-month LIBOR plus 4%. Also, investment in a trade finance fund by Triterras demonstrates the company's belief that trade finance is an appealing investible asset class to those prospective credit funds that we are soliciting for onboarding to the Kratos platform. To reiterate, we believe that trade finance lending offers high yields, short maturity, or self-liquidating and have structural protections with low correlation to other asset classes. We believe it could be very appealing for a number of general credit funds. The next question. What besides the initial onboarding KYC process? Is Triterras doing to make sure bad players are kept at bay? I'll be fielding the answer to that question – I'll be fielding that question. We believe that our onboarding process is very robust and exceeds the standards used by many banks. This question though relates to the safeguards in place post the initial onboarding and we have a very specific set of processes that are followed. Every client on the platform undergoes a full KYC update every six months. And this process in terms of reminders and follow-ups is automated on the platform. Also, the platform will automatically generate a request for update if one of the critical documents underlying the KYC as an example like a country-specific trade license expires between the scheduled six-month updates. There are also risk mitigation tools on the platform. For example, BOL, that's Bill of Lading verification and vessel checks as well as instant access to third-party credit reports. Also, the fundamental structure of our blockchain-enabled platform means that there is one version of the truth with regards to transaction records, which we believe is demonstrated to reduce disputes. The next question. Has there been any significant loan defaults to lenders? These don't impact Triterras finances directly, but it could pose reputational and credibility risk, if lenders are beset by bad loans. Srinivas?
Srinivas Koneru: Well, platform does not track the repayments, but we are not aware that any issues have been raised by the lenders with us on default. 
James Groh: Thank you. For the trade discovery module, is it possible for one party to search a list of buyers, traders, sellers and lenders already registered on Kratos and conduct trade with them for the first time or our Kratos trades limited to parties with the user setups under the users Kratos profile? Srinivas?
Srinivas Koneru: Yes. They can find new counterparties on the platform and can also trade with them.
James Groh: Thank you. Next question is for ESG. Is the call trading 10% to 15% of revenues impacting any future business prospects from lenders with a key eye for ESG? I'm going to answer that question. As we've always maintained, we are product agnostic as a platform, but as we have greatly expanded our client and product focus, we have made a concerted effort to include new vertical markets that would be viewed favorably from an ESG perspective. So we believe that we now offer a much greater portfolio of ESG-centric opportunities to lenders. Also, we believe it's worth remembering that our very core mission to bring additional liquidity to underserved or underbanked markets in emerging markets is an economic accelerator in those markets and directly serves the world social good. Next question. How is employee morale? Are you retaining employees? Srinivas?
Srinivas Koneru: In general, we believe that employees’ morale is positive. Our employees on the frontline have a strong belief in the company and its mission. We have gone out of our way to communicate to the employees some of the misinformation that has been directed at the company. Inevitably, there is always turnover in rapidly evolving organization and some of it will be forced. All-in-all, we are in good place with what we believe to be highly capable and hardworking team.
James Groh: Thank you. Related to that, is there any update on what Triterras did to fill John Galani’s hold COO position? Srinivas?
Srinivas Koneru: John’s responsibilities have been assigned to other executives in the organization.
James Groh: Thank you. Next question. What are the key elements – and this is the final question. What are the key elements that explain current revenue trends versus the forecast published prior to the business combination? Srinivas?
Srinivas Koneru: We have spoken at length today and in our filings about the series of events that we sell the company as well as the impacts of the worldwide economic crisis and our client base. We would like to point out that in spite of the events, we essentially achieved our revenue forecast for the year ending February, 2021, but these events have been much more impacting in the fiscal 2022. Our core strategy and mission remain intact and we remain very excited about the company's prospects in the future.
 :
James Groh: Great. Thank you, Srinivas. That concludes our prepared remarks as well as the question-and-answer session. We thank you all for joining us and for your interest in the company. And we look forward to speaking to you after we filed our 20-F in a few months here. Again, thank you for your interest in support of the company. Operator?
Operator: Ladies and gentlemen, thank you for joining us today for Triterras Business Update Conference Call. You may now disconnect. Everyone, have a wonderful day.